Operator: Good morning, and welcome to the Franklin BSP Realty Trust Third Quarter 2023 Earnings Call. [Operator Instructions]. Please note, this event is being recorded.  I would now like to turn the conference over to Lindsey Crabbe, Director of Investor Relations. Please go ahead.
Lindsey Crabbe: Good morning. Thank you, Jason, for hosting our call today. And thank you everyone for joining us. Welcome to the Franklin BSP Realty Trust third quarter earnings conference call. As the operator mentioned, I am Lindsey Crabbe. With me on the call today are Richard Byrne, Chairman and CEO of FBRT; Jerome Baglien, Chief Financial Officer and Chief Operating Officer of FBRT; and Michael Comparato, President of FBRT. Before we begin, I want to mention that some of today's comments are forward-looking statements and are based on certain assumptions. Those comments and assumptions are subject to inherent risks and uncertainties as described in our most recently filed SEC periodic report and actual future results may differ materially. The information conveyed on this call is current only as of the date of this call, October 31, 2023. The company assumes no obligation to update any statements made during this call, including any forward-looking statements, whether as a result of new information, future events or otherwise, except as required by law.  Additionally, we will refer to certain non-GAAP financial measures, which are reconciled to GAAP figures in our earnings release and supplementary slide deck, each of which are available on our website at www.fbrtreit.com. We will refer to the supplementary slide deck on today's call. With that, I will turn the call over to Rich Byrne.
Richard Byrne: Great. Thanks, Lindsey, and good morning, everyone. Thank you all for joining us today. As Lindsey said, I'm Rich Byrne. I'm Chairman and CEO of FBRT. As Lindsey also mentioned, our earnings release and supplemental deck were published to our website yesterday. We are going to begin today's call by reviewing our third quarter results. And then, of course, as always, we will open up the call for your questions. I am going to start on Slide 4. So let's just jump in.  FBRT earned distributable earnings $0.43 for fully converted share in the third quarter. This represented a 10.7% return on equity. As you all may recall, we realized a one-time gain in the second quarter from the resolution of our Williamsburg Hotel loan. Excluding the impact of the Williamsburg loan and another small one-time charge, our portfolio produced distributable earnings which were just very similar to what earned in the second quarter. Our third quarter distributable earnings once again comfortably covered our common dividend of $0.355. This produced dividend coverage of nearly 120%. This represents a yield of approximately 11.6% on our current share price as of last week on October 27th.  Our portfolio ended the quarter at $5 billion, of which 78% of our portfolio's collateral is multifamily. Q3 was a lighter originations quarter for us, resulting in a slight decrease in our portfolio. We originated $153 million of new loan commitments and received repayments of $290 million. Year-to-date, we have originated $586 million of new loan commitments. Deal flow remained subdued in the quarter, but the spread and terms on the new deals we did were very attractive. In fact, it was one of the best markets that we have seen in years. Also, deal flow has picked up meaningfully in the past 30 days or so. Since the end of the third quarter, we have funded $138 million already in new loan commitments. Mike will cover this in more detail in his commentary.  During the quarter, we closed an approximately $900 million CRE CLO at a SOFR+229 cost of debt with an 18 month reinvestment period. This further lowered our recourse net debt to equity to 0.1x. The issuance increased our overall lending capacity and improved our total liquidity position.  At the end of the quarter, we had $411 million of unrestricted cash, which represents 7% of our total assets and total liquidity of $1.8 billion. As I mentioned, we're comfortably over-covering our dividend, despite all of this undeployed capital. When we do deploy this capital, we expect it to be meaningfully accretive to earnings. In the meantime, this liquidity cushion will help us -- help to protect us against any unforeseen credit events.  Last quarter, we provided more details on our approach to risk management and our active engagement with borrowers. Our average risk rating remained unchanged at 2.2 for the quarter. Our portfolio has continued to perform well. Our watch-list at September 30th consisted of three loans versus five in the prior quarter, all three loans on our watch-list are rated 4 and represent only 1.7% of our total portfolio. Also, we took no asset-specific CECL charges. Our general CECL reserve modestly increased by 2.8 million in a quarter.  We had two positions held for -- held as foreclosure REO at the end of the quarter, effectively unchanged from the prior quarter. The vast majority of our foreclosure REO consisted of our Walgreens retail portfolio. The total foreclosure REO represents about 1.9% of our total assets. In a moment, Mike is going to provide a fulsome update on both our watch-list and REO in his comments.  Finally, our company's buyback authorization had 39 million remaining at quarter end. We will not hesitate to repurchase our shares when we determine it to be the best use of our capital. As such, we have been active in the market. Post quarter end, we purchased 2.2 million of our shares through October 25th. That was earlier last week. Our Board of Directors has extended our company buyback program through December 31, 2024. Our commercial real estate -- let me just end here by saying the commercial real estate lending market faces both opportunities and challenges going forward. We continue to actively look to originate new deals and think that vintage of deals we are seeing now is very attractive.  We will continue to be selective as we originate loans looking for the best credits at the best terms. Our capital position remains strong, and we are confident we will continue to strike the right balance between playing offense and playing defense.  With that, I will turn the call over to Jerry now to discuss our financial results.
Jerome Baglien: Great. Thanks, Rich. Good morning, everyone. I am Jerome Baglien, the Chief Financial Officer and Chief Operating Officer of FBRT. I appreciate everyone being on the call today. Moving on to our results, let's start on Slide 5. FBRT generated GAAP earnings of $31 million or $0.30 per diluted common share, representing a 7.7% return on common equity in third quarter. Our general reserve increased by $2.8 million this quarter to $42.9 million, resulting in a $0.03 reduction to GAAP earnings. Like Rich said, we did not have an asset-specific charge this quarter. Our distributable earnings in the third quarter were $42 million. We are pleased to report we completed the exit of the residential ARM book that we inherited from our merger in October of 2021. We incurred a $0.04 loss per share related to these third quarter sales. A walk through of our distributable earnings to GAAP net income can be found in the earnings release.  Book value is down slightly this quarter to $15.82 from $15.85. The largest driver of the decline was a write down on the Walgreens retail portfolio due to changes in valuation based on market rates. This resulted in a $0.05 per share reduction to book value. Further reducing book value this quarter was the increase to our general CECL provision and costs associated with calling FL5, a CLO we issued in 2019. These reductions were partially offset by distributable earnings in excess of our common distributions. Moving on to Slide 7. This summarizes our portfolio progression. Our repayments have been consistent with past quarters despite a more difficult funding environment when those loans reached maturity. 14 loans were repaid in the quarter and most of our repayments were from multifamily and hospitality loans, contributing 68% and 23% of the balance, respectively, and one loan was taken as REO. We provided more transparency on our loan book in the MD&A section of our third quarter 10-Q, including each loan's risk rating, origination date and asset location as well as other details. Slide 8 highlights our capitalization. Our average cost of debt during the quarter was 7.7%. The increase in our cost of debt has trended up with increases in SOFR, as our debt primarily floats. We issued our 10th CLO in September, which brings 85% of our total portfolio financing through CLOs. The market was open to our issuance and we were pleased with our execution. 90% of our financing on our core book is now non-recourse, non-mark-to-market. We will continue to take advantage of CLO reinvestment on our deals and move newly originated loans off warehouse lines and into CLOs. And with that, I will turn it over to Mike to give you an update on our portfolio.
Michael Comparato: Thanks, Jerry. Good morning, everyone, and thank you for joining us. I am Mike Comparato, President of FBRT. I would like to start on Slide 12, bringing your attention to the key attributes of our commercial loan portfolio. Our portfolio ended the quarter with $5 billion of assets spread across 145 loans with an average loan size of $34 million. Multifamily continues to be our largest exposure, 78% as of quarter end. As I have said before, we continue to be bullish on the fundamentals of multifamily at the property level and we will continue to focus our portfolio origination there. It is the most recession-resistant asset class, has meaningfully better liquidity than other asset classes due to agency financing and is currently a meaningfully cheaper alternative to home ownership given current housing mortgage rates.  During the quarter, we originated four loans at a weighted average spread of 398 basis points. These transactions were primarily a multi-family and hospitality, and were located across the Sunbelt. Although transactional volume remains slow, our originations have picked up meaningfully in the last three to four weeks. We are underwriting very attractive terms on some of the strongest credit profiles we've seen in years. Competition for loans remains subdued with many of the usual suspects remaining side-lined, accumulating cash to address legacy portfolio concerns.  Our portfolio is well-positioned, but we expect market distress to continue as more than $1.5 trillion in commercial real estate debt comes due over the next several years. We will not be immune from such issues. However, given our asset allocation and asset quality within the portfolio, we are confident in our ability to navigate this market dislocation. Like most other commercial mortgage REIT portfolios, 90% of our borrowers have interest rate caps activated and have not meaningfully felt the effect of the increase in interest rates. Loan maturity continues to be the catalyst for action to be taken.  Predicting borrower behavior is very difficult in this environment. We are proactive in getting ahead of issues with borrowers, extending or modifying loans now when appropriate and resolving a manageable number of loans per quarter. To date, we're actually quite pleased with borrower behavior, both their financial commitment to assets and from a communication standpoint. As things stand today, we do not expect to see the extent of dislocation we've seen in office spread to other asset classes. Office is fundamentally challenged as we have discussed on prior calls, and we have not seen any improvement in conditions. Our office exposure has been minimally reduced but still remains at 6%. Our largest office loan is triple net leased for over 15 years to a large public company as our corporate headquarters and our traditional multi-tenant office exposure when excluding this loan has an average loan size of only $22.4 million.  Slide 14 summarizes our watch-list loans. As Rich mentioned, we have three loans on watch-list as of September 30th, representing approximately $83 million in value with no additions this quarter -- no new additions this quarter. Two assets were removed from our watch-list loan. One loan, a garden-style apartment community was removed by way of an upgrade from a 4 rating to a 3 rating following our quarterly asset review process, and that loan was subsequently paid off after quarter end. The other loan, a CBD office complex was taken as REO during the quarter. We took an asset-specific reserve on this loan during the second quarter. The three loans that remain on watch-list and are risk rated 4 were a CBD high-rise office building in Denver, Colorado, a suburban class A office building in Alpharetta, Georgia, and a 16 building apartment complex in Lubbock, Texas that was subsequently taken as REO in Q4 with a carrying value of $12 million or approximately 50,000 per unit.  As Rich mentioned, our total REO positions at quarter end stood at 2. We liquidated the St. Louis office property during the quarter with a carrying value of $11.8 million. We also foreclosed on the Portland office property in Q3 with a quarter ending value of $18.8 million. The vast majority of REO exposure sits within the Walgreens retail portfolio. We sold one store during the quarter at a 5.5 cap, leaving us with 23 stores with a carrying value of approximately $91 million. As we mentioned last quarter, we intend to liquidate this portfolio as the market permits. However, we are patient sellers and comfortable holding these assets until we reach pricing levels that we feel are appropriate. In aggregate, our foreclosure REO balance ended the quarter slightly lower at $110 million, was approximately 1.9% of our total assets. With that, I would like to turn it back to the operator to begin the Q&A session.
Operator: [Operator Instructions]. Our first question comes from Stephen Laws from Raymond James. Please go ahead.
Stephen Laws: Hi. Good morning. Congratulations on a really solid quarter and it is a very difficult environment out there as we are seeing with many. Michael, I wanted to touch base with some comments. I guess both you and Rich mentioned it about origination activity or transactions picking up in the last few weeks. Can you maybe talk about how you see the balance sheet shifting in the coming quarters? You have got like almost no recourse debt on your bank lines given the recent CLO. Is that something you will take back up ahead of a CLO next year? Or how do you really see originations relative to repayments in the coming quarters?
Michael Comparato: Thanks, Stephen. Thanks for the question. We are out there actively trying to originate loans. As we said in the prepared remarks, the loans we are seeing today are some of the best we have seen in years, some of the highest coupons we have seen in decades. So we are actively looking to put money to work in this environment, that's going to be done with warehouse financing. And as we aggregate warehouse financing, if we are able to do enough of it, that puts us in a position to issue another CLO, obviously pending conditions of the market pricing leverage and things of that nature, of course, we would consider it again. I think you know, we do all of our CLOs as reinvestment, so we are going to always keep those full first, just from an efficiency standpoint. So we would have to originate an incremental probably $700 million to a $1 billion of loans, before we would issue a new one in 2024.
Richard Byrne: Stephen, it's Rich. Just to add on. I think part of your question also sort of addressed how we think about deploying cash into originations. I mean, we ended the quarter with $411 million of cash. It feels to us like, we had a pretty quiet quarter in the last few quarters, in fact, with $150 million of originations this quarter. But compared to some of our peers, that's bigger than sort of the zero that a lot of other people are posting. I think our approach is, clearly there were -- we would have done more deals if the market had been a little bit more robust. But as Mike said, the vintage is great. With $411 million of cash and 78% multifamily, only 6% office, feels to us like we certainly have some liquidity we can continue to deploy and $1.8 billion in total, which just do the math, obviously, grows our ROE. With 120% dividend coverage doesn't feel like we have a lot of pressure on us to do that. But you are going to see us continue to spend that cash and grow our earnings. We will keep some cash around, but $411 million seems excessive.
Stephen Laws: And obviously stock buyback and other good use of some of that. One follow-up regarding the pipeline, can you talk about what you're seeing build there? Any concentrations, type of borrowers, type of assets, certain markets is it more construction or lighter stuff? What are you seeing build in the pipeline this month? 
Richard Byrne: So our focus even continues to be multifamily and hospitality. So it's almost exclusively those two asset classes right now, maybe a small spattering of industrial. We are doing some multifamily construction loans. I frankly find them to be probably the best risk return in the market today. Unfortunately, they're not the greatest asset in the world just because they kind of dribble out capital over a 12 to 18 month construction period.  But generally speaking, multifamily and hospitality, I can't quite put my finger on the -- and I'm going to say meaningful pickup in origination in the past 30 days, I think a lot of it though, is some capitulation from sellers. I do believe that people are starting to accept the reality of higher rates and rates are higher for longer. And people are tapping out and selling assets. So we've actually been providing acquisition financing, as well as some traditional refinancing, which is largely cash and refis at this point. 
Operator: The next question comes from Matthew Erdner from JonesTrading. 
Matthew Erdner: Could you talk about -- a little bit about multifamily insurance and just kind of NOIs, and if there's anything that you guys are seeing there in terms of LTVs maybe creeping a little bit up due to pressure on their margins? 
Richard Byrne: Sure. Hey Matt, good morning. Thanks for the question. I think, we're having an insurance issue mostly in coastal locations is where we have noticed the biggest uptick, coastal Florida, coastal Carolinas, Houston, New Orleans, et cetera. And the pickups have been meaningful. So in some instances we're seeing year-over-year increases there. That is more than doubling. So it has not been an easy pill to swallow on the insurance side of things. You saw insurers pull out of California. So I think there's an overall insurance overhang that's really driving premiums right now. We are obviously factoring that into all of our going forward underwriting and origination. And we're dealing with it the best we can within the existing portfolio. But it's a well-known fact and there's really no avoiding it at this point. 
Matthew Erdner: Right. Yes. Thanks for that. And then kind of turning to the distress market, where are you expecting to see some of that activity there? And then do you guys expect to kind of get involved in that space or just kind of watch and pay attention to it? 
Richard Byrne: Yes, historically, we haven't found the discounted loan market or the NPL market to be an overly efficient use of our time. I think we've built an industry-leading origination platform for the middle market at BSP. It's kind of what we do and what we do best. In times like these, you have a lot of non-real estate players that show up to bank auctions, where they're selling portfolios of loans. You get the hedge fund universe. You just get a bunch of opportunistic investors that come in. So we find our day jobs hard enough when we're just competing with the normal competitive set. When you bring another several dozen guys into the room -- I have been doing this close to 30 years, I have never bought a loan once. Just never the best bid in that scenario. So not a market that we actively participate in and wouldn't expect us to play an active role in it going forward.
Operator: The next question comes from Steve Delaney from JMP Securities. Please go ahead.
Steven Delaney: Good morning, everyone. Congratulations on another strong quarter. Let me start with the new CLO. I was wondering, Mike, the ROE there. And I think you have to, obviously, for now, just look through the reinvestment period, right? Because things can change when it delevers. But what would you just estimate kind of a target range for what type of return on equity within the CLO would you expect to realize? Thanks.
Michael Comparato: Jerry, you want to cover that?
Jerome Baglien: Yes. Happy to. I think when we start out, we are in the high teens on that, in terms of what we have contributed day one. As we turn it over and we turn over our CLOs quite a bit if you look at the actual amount of reinvest we use, I expect it to probably stay there if not get better, based on kind of new spreads that we are able to get in the market today. So even with the wider cost of spread in the market today, we are making up for that on the asset side. So this is just as accretive as some of the deals we have done in the past, which is why you have seen us be patient with this, to -- we were able to accumulate a pool that worked, and this is working in essentially the same range as our older deal. So the reason we all highlighted and said we are pretty happy with the execution is, because I think we are going to have really good execution over the life of this deal.
Steven Delaney: Well, it was number 10. So I think The Street knows what they are getting when they buy one of your transactions. What was the length of the reinvestment period?
Michael Comparato: This one was 18.
Steven Delaney: 18 months?
Michael Comparato: Yes.
Steven Delaney: Okay. Very good.
Michael Comparato: And Steve, just a little color on that. Market convention has been two years on reinvest. This was the first managed deal that had gone to market in over a year. So we just wanted to give a little cushion to investors feel a little bit better about buying into the first managed CRE CLO in over a year. And I think it was the right move for everybody to get that done.
Steven Delaney: Thanks for explaining that, Mike. And just the final question. The leverage ticked down a little bit to 2.2. I am wondering, does it actually go down a little bit further with the CLO? It closed at the end of September. So I guess I am just thinking mechanically that were you able to move cash around and pay-off other debt maybe with involving more leverage. How did it all shake out at quarter end? And where do you see your leverage now after the CLO and your financings have been rebalanced?
Richard Byrne: I will start on that and you guys can chime in. In terms of where we ended, we closed the deal just before the end of the quarter. So that created a decent amount of cash in terms of how we were able to rebalance what was on warehouse lines. And having -- obviously ending with $400 million of cash means we were able to take down some of the borrowing where we didn't necessarily need it. In the very near-term, I don't expect this to run quite the slow of a leverage level. But as you just heard earlier, we do have a decent forward pipeline in terms of how we think we'll deploy some of this. And as we deploy it, we will put some leverage on that. So some of this was just repositioning through the execution of the CLO, and some of it's just a build of cash ahead of redeploying as new opportunities start to come in. 
Operator: The next question comes from Sarah Barcomb from BTIG. 
Sarah Barcomb: So it was good to see some new investments get done, as many of your peers had zero originations this quarter. It looks like the Q3 deals were done at less than 60% average LTVs. My question is whether any of these SOFR+400 coupon deals were underwritten with negative leverage? Can you give some color surrounding the rent growth assumptions and cash flow coverage on these properties, and their ability to service the debt? And separately, I'm also curious if you're doing these deals with existing sponsors or new sponsors. Any color there? 
Richard Byrne: Hey, Sarah. Good morning. Thanks for the question. I'm going to start backward both. So some were with existing clients, and some were new clients that we picked up during the quarter. One of which very institutional and very glad we were able to transact with them.  With respect to coverage, I would say almost nothing covers today, right? I mean, we're lending at 9.5% coupons, if just roughly speaking. I will say the hotel loan that we originated, actually, I think that was post quarter end. That was a very, very low LTV loan. I think it was like 30, 35 LTV for us on the senior. So that actually does have some coverage. But everything else that we're doing is definitely negative leverage. They're all being structured with interest reserves and our typical kind of interest reload structure that usually has recourse to the sponsorship. And they are bridging to better days, brighter days hopefully, and ultimately to agency execution. So I think the idea is we'll pay 9%, 9.5% today. Hopefully that is an expense we're only paying for 12 or 18 months, and then we can bridge into an agency execution that has a 6 handle on it. So it's negative leverage today with hopes of being agency as a takeout. 
Sarah Barcomb: Okay. Thanks for the detail there. And then my follow up. So we saw one multifamily asset foreclosed and another 4 rated asset repay in full. So two different outcomes for 4 rated assets. I'm curious if the -- were there any loan modifications during the quarter? And given we're seeing about 3 billion or so of maturities next year, can you talk about your outlook for potentially modifying some of these loans? 
Richard Byrne: Sure. We definitely had modifications during the quarter. I think as we've said last quarter and this quarter in the prepared remarks we're trying to take a very proactive stance on addressing pending maturities. I will say borrowers have been very communicative with us. They're engaging us. We're having overall productive dialogue, and I think we're getting these amendments done and modifications done thus far that are all net benefit to our current credit position. I foresee us continuing on that path throughout 2024. We are going to be modifying and working with borrowers, kind of across the board.  So I will say again what I said during COVID, we have to go into these negotiations, understanding this is a difficult time, it is not their fault. It is not our fault. It's the reality that we are living with. But we are not their partner, we are their lender, and we expect that, this is not going to be lender just gives six things and borrower doesn't chip in. So it is an active negotiation. But we are fully expecting borrowers to come to the table, with something, whether it is a pay down, whether it's amortization, whether it is recourse to increase our rely on our existing credit position.
Operator: Our next question comes from Jade Rahmani from KBW. Please go ahead.
Jade Rahmani: Thank you very much for taking the question. A few multifamily REITs have reported a market slowdown in new lease rent growth in September and October, particularly in the Sunbelt and Phoenix, as well as a decline in occupancy that looks to be above normal seasonality. They attribute this to elevated supply, driven by the strong completions. And then they also are citing a behavioral characteristic from so called merchant developers that are in a race to get to stabilized occupancy and enhanced offering, concessions and free rent. Can you talk to this trend and whether you think this phenomenon is big enough to weigh on credit for the bridge lending sector as well as overall multifamily?
Michael Comparato: Hey, Jade. Good morning. It's Mike. Thanks for the question. Spot on, so address the markets and the issue perfectly. We are definitely seeing supply as a short-term issue. And I think the markets you identified, specifically Phoenix, I would say specifically Suburban Austin and specifically Downtown Nashville, probably are the three softest markets that we are seeing today. And again, your question was spot on. It is a lot of the newly delivered stuff where developers are offering two months of concession to just get people in the door, and it is affecting kind of everyone, everywhere. So I think it is definitely going to have a short-term impact. I do not think that, that phenomenon is strong enough to impact a credit on a macro basis. Obviously, it is going to affect NOIs in the short-term. But I am looking through that. And I don't want to be overly bullish because after all I am a credit guy, right? But I am looking through that, and banks are gone.  While we're providing construction lending and filling a void in some capacity and there is some competitors like us out there that are filling that void as well, it is nowhere even remotely close to the total amount of capital or credit that's left the construction loan space. And I say that because what's important is supply falls off a cliff in 2025 and looking forward. So I think as you have this period of high supply today, it is going to be offset by muted supply, 18 months out. And I couple that with the fact that it is 8% to get a mortgage to buy a house. I think we are going to have millions of forced renters for the foreseeable future, and I actually think you could have somewhat of a perfect storm in multi in '25, '26, '27, where there is actually meaningful rent growth again because of the lack of supply and the amount of people that can't afford a home and are have-to-be renters. 
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Lindsey Crabbe for any closing remarks. 
Lindsey Crabbe: We appreciate you joining us today. If you have any further questions, please reach out to me or our team. Thank you. 
Richard Byrne: Thanks, everyone.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.